Operator: Good day, and welcome to the Five9, Inc. Third Quarter 2017 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Lisa Laukkanen. Please go ahead.
Lisa Laukkanen: Thank you, operator. Good afternoon, everyone, and thank you for joining us on today’s conference call to discuss Five9’s Third Quarter 2017 Results. Today’s call is being hosted by Mike Burkland, CEO; and Barry Zwarenstein, CFO. During the course of this conference call, Five9’s management team will make projections and other forward-looking statements regarding the future financial performance of the company, industry trends, company initiatives and other future events and the recently announced management transitions. You are cautioned that such statements are simply predictions, should not be unduly relied upon by investors, and actual events or results may differ materially, and the company undertakes no obligation to update the information in such statements. These statements are subject to substantial risks and uncertainties that could adversely affects Five9’s future results and cause these forward-looking statements to be inaccurate. A more-detailed discussion of certain of the risk factors that could cause these forward-looking statements to be inaccurate and that you should consider in evaluating Five9 and its prospects is included in the caption Risk Factors and elsewhere in Five9’s filings with the Securities and Exchange Commission. In addition, management will make reference to non-GAAP financial measures during this call. Management believes that this non-GAAP financial information is useful, because it can enhance the understanding of the company’s ongoing performance. And Five9, therefore, uses non-GAAP financial information internally to evaluate and manage the company’s operations. This non-GAAP financial information should be considered along with and not as a replacement for financial information reported under GAAP and could be different from the non-GAAP financial information provided by other companies in our industry. A full reconciliation of the GAAP to non-GAAP financial data can be found in the company’s press release issued this afternoon and is also available on the Investor Relations section of Five9’s website. And now I’d like to turn the call over to Five9 CEO, Mike Burkland.
Mike Burkland: Thank you, Lisa. Welcome, everyone, to our third quarter 2017 earnings call. I’m extremely pleased that we reported another outstanding quarter. But before we go any further, I’d like to take a minute to discuss the personal news about my health that was announced earlier today. In October, I was diagnosed Stage 4 cancer and I will be undergoing aggressive treatment over the next several months. During this period, I’ll be focusing most of my time on my health and my family. Given this, effective December 2, I’ll be transitioning to Executive Chairman, but I plan to remain actively involved with Five9 and continue to work closely with the Board and management team. Barry Zwarenstein, our CFO, for the last five-plus years, will become Interim CEO, while we conduct a search for a permanent CEO. Dan Burkland, our EVP of Global Sales and Services who has been with Five9 promoted to President. While this is an extremely difficult situation for me personally, my decision was clear. I have the utmost confidence in my team to continue to execute on our tremendous opportunity ahead. With the ongoing leadership from Barry and Dan, the extended Five9 executive team, as well as our board, who have all been together for several years, I am extremely confident that Five9 will not miss a beat and continue its strong execution in this tremendous cloud contact center market opportunity. I would also like to express my confidence in the entire Five9 team of 800 plus employees, who in my opinion are the best in the industry, period. Now let me share a few more details on Barry and Dan and their respective backgrounds. Barry has been CFO of six public companies over his career. He joined Five9 back in 2012, when we were a much smaller private company, and he has helped me in so many ways to grow Five9 into the successful public company that it is today. Dan has spent nearly 30 years in and around the contact center market and is a true industry veteran. He joined Five9 in 2009, and has led our sales, business development, professional services and customer service team. Dan’s leadership has been key in scaling Five9’s annual revenue from around $20 million to nearly $200 million. While my health situation is a true life challenge, it gives me great comfort to know that Five9 is in such trusted hands as I make this transition to executive chairman. In addition, I hope you will all respect my choice not to share additional personal details regarding my health at this time. Now let’s get back to the results for the quarter. I’m very pleased to report that third quarter revenue exceeded our expectations, growing 22% to a record $50.1 million. This revenue growth continues to be driven by our Enterprise business, which delivered 36% growth in LTM Enterprise subscription revenue. This is a key metric that reflects the growth in our Enterprise business, which is the majority of our overall revenue mix. Furthermore, we continue to deliver leverage on our business model with record adjusted EBITDA of $5.2 million in Q3, representing a 10% EBITDA margin, an increase of 38 percentage points since our IPO. The improvements through adjusted EBITDA continued to be driven by our Enterprise business, which enjoys excellent unit economics and is consistently increasing as a proportion of total revenue. I’m also extremely pleased to report that we had our best quarter ever for enterprise bookings in Q3 and our pipeline reached another all-time high. Our exceptional bookings were driven by the massive push towards modernization of customer service and contact center technologies, the improved market landscape, the growth in our direct sales force, and leverage from our expanding ecosystem of partner. This ecosystem of partners, which includes master agents, referral partners, resellers and other integration partners employs more than 55% of our enterprise deal flow in the third quarter of 2017. As a reminder, Five9 has deep partnerships with industry leaders in areas such as CRM, with the likes of Salesforce, Oracle, Zendesk, and Microsoft, WFO with the likes of Calabrio, Verint, and CallMiner, and unified communications with Microsoft Skype for business and Cisco. The following metrics demonstrate our ongoing momentum in the enterprise market. First, 36% growth in LTM enterprise subscription revenue. Second, enterprise revenue has grown to 73% of LTM revenue compared to 68% a year-ago. And third, we estimate that our win rate against two key cloud competitors again averaged over 75% in the third quarter. This ongoing success in our enterprise business continues to be driven by six key factors. First, a massive market opportunity estimated at $24 billion in annual recurring revenue, and were cloud penetration is still only 10% to 15%. Not only is the market opportunity massive, but it has a number of appealing aspects namely: That it is not a land grab but a steady replacement cycle lasting over a decade or more. We are not creating a new category but instead, simply replacing decades-old technology with modern architecture. The evangelical phase of this replatforming is clearly over. Nowadays, most RFPs include a cloud option as a matter, of course. Second, our end-to-end solution providing the industry’s most robust omni-channel solution. Third, our investments in growing our enterprise quota-bearing sales headcount plus strong traction in our channel expansion initiatives. Fourth, our unique high touch on-site implementation process performed by our professional services team as well as our ongoing personalized premium support service provided by our technical account management team. In addition, Five9 has been consistently ranked well above our industry peers on metrics such as same-day case closure percentage, NPS score, as well as skills and technical training according to benchmarks compiled by the Technology Services Industry Association. Fifth, we continue to deliver best-in-class reliability, security, compliance and scalability that meet the standards of large enterprises including for example some of the leading financial services and healthcare company. We’re extremely proud of our uptime performance which averaged 99.994% over the last 12 months. And sixth, our customer first culture, which starts with our team of top-tier talent combined with a do whatever it takes mentality and a rigorous focus on cross functional customer success KPIs. I’m also pleased to announce that for the third consecutive year, Five9 has been recognized as a leader in the Gartner Magic Quadrant for contact center as a service, and positioned highest for our ability to execute. We believe that Gartner’s MQ is of vital importance to contact center decision-makers helping them understand the market and choose the right provider to deliver on their customer experience vision. In our opinion, our continued recognition as a leader reinforces the value we bring to our enterprise customers. Enterprises need to know that their Cloud Contact Center software provider is a trusted partner that delivers secure, reliable and innovative solutions with a compelling vision for the future. Now I would like to share with you some key enterprise wins in the quarter. The first is a global well-known brand for skincare, makeup and fragrances. They were looking to consolidate and standardize several global contact centers, which have been using multiple legacy solutions, creating silos of inefficiency and inconsistency across many locations in departments. After a thorough RFP process, Five9 was awarded the business over several cloud and premise providers. Key elements in their decision were Five9’s global reach, which was enhanced with our recently announced Global Voice architecture, deep integration with both sales force and Oracle CRM as well as integration with Skype for Business with our UC solution. Five9 is providing them with the full spectrum of inbound, outbound, multichannel and blended solutions. We’re rolling out the first phase in the U.S., UK, Hungary, the Czech Republic and Australia. We estimate this customer will generate approximately $1 million in annual recurring revenue to Five9. Next I’d like to share an example of a customer who is a leading supplier of services to the educational market for K-12 as well as higher education. They were using Avaya with Oracle Service Cloud CRM. After issuing an RFP to multiple premise and cloud vendors, they chose Five9 for the strength of our core application set of ACD and IVR, our deep Oracle Service Cloud integration and our ability to provide an end-to-end WFO solution, including WFM, QM and analytics. In addition, this customer will utilize our visual IVR and visual customer feedback applications, along with our platinum MPLS Agent Connect service for guaranteed voice quality. We estimate that this customer will generate approximately $2.6 million in annual recurring revenue to Five9. Third example of a new enterprise contract is for a fast-growing financial services company with over 240 retail branches throughout North America. They were running a competitive cloud solution and not receiving the necessary support from that vendor. In addition, they had experienced several service disruptions. They’re leveraging the Five9 end-to-end solution, along with our unique Premium Support offering to deliver the optimal customer experience in English and Spanish for loan origination, loan processing and collections. We estimate that this customer will generate approximately $1.9 million in annual recurring revenue to Five9. The next example of a new enterprise contract is with a health and wellness platform provider. They have been using two disparate systems and we’re looking to consolidate to one solution and integrate deeply with Salesforce. After implementing a pilot from a competing hybrid solution, they discovered they could not achieve the integration requirements with Salesforce nor the consolidation requirements of their two legacy on-premise WFO solution. They reached out to Five9 and we were able to consolidate all their operations into one cloud solution, fully integrated with Salesforce, while also replacing and consolidating their WFO solutions into one cloud WFO solution, all managed by Five9. And we were able to launch our service in under 30 days to help this customer recover from the delay. We estimate that this customer will generate approximately $1.3 million in annual recurring revenue to Five9. As you can see from these examples, we continue to see larger and larger enterprises embracing the cloud and Five9 for their mission-critical contact center solutions. Our proven track record, validation from third-party, trusted sources like Gartner and our strong customer base are allowing Five9 to take advantage of this digital transformation that is taking place. Now I’d like to share an example of an existing customer expansion. This enterprise customer, which provides services to the public sector begun with us four years ago with approximately 100 seats. Over this period of time, they have more than tripled their seat count on Five9 and recently added speech analytics. With this recent add-on, this customer is now generating over $1 million in annual recurring revenue to Five9. With respect to the market landscape, Avaya remains financially impaired and continues to provide a tailwind for us. Avaya has been the legacy solution that we replace most often and they still have the largest market share amongst legacy players. The continued uncertainty around Avaya’s future is definitely causing more and more enterprises and channel partners to look at alternatives. With respect to the two cloud competitors that were acquired, our win rates continue to increase against them as they are being absorbed and integrated into their parent companies. In closing, I’m extremely pleased with our momentum in the enterprise market, which is demonstrated by our strong enterprise subscription revenue growth of 36% on an LTM basis. Customer experience has become more strategic to enterprises as customers have become more empowered, more mobile and more digital. The contact center is the sharp end of the spear, the frontline, if you will in terms of interacting with this customers, protecting and enhancing the brand, improving the experience and, thereby retaining these customers and increasing revenue. Forward-thinking enterprises of today are more focused on enhancing their customer experience rather than just reducing the cost per interaction. We believe that our powerful differentiated cloud contact center software combined with our continuing execution puts Five9 in a great position in the customer experience market that is still in the early days of a massive shift to the cloud. This includes the shift to the cloud for both CRM solutions like Salesforce, Oracle, SanDisk and Microsoft as well as contact center solutions like Five9. Our Cloud Contact Center software is tightly integrated with these CRM solutions and we are going to market together to help our joint customers modernize their contact centers to drive a better customer experience. I will now turn the call over to Barry to provide more color on the third quarter financials.
Barry Zwarenstein: Thank you, Mike. Revenue for the third quarter of 2017 was $50.1 million, up 22% year-over-year. This growth is all organic and reflects the continued strong growth in our enterprise business. It now make up 73% of LTM revenue. Our commercial business which represents the other 27% of LTM revenue, is growing in the single digits as we focus our investments on the higher ROI enterprise business. Recurring revenue accounted for 93% of our revenue in the third quarter. Recurring revenue is made up of monthly software subscriptions, which are based on the number of agency, but usage which is based upon minutes. We enjoy a high retention rate on these recurring revenues. Our annual dollar-based retention rate in the third quarter of 2017 was 98%, the same as in the second quarter of 2017. The other 7% of our revenue in the third quarter was comprised of professional services fee, generated from assisting clients in implementing and optimizing Five9 solutions. I will now discuss gross margin and expenses. A reconciliation from GAAP to non-GAAP Result included in the appendix of our investor presentation in the Investor Relations section of our Web site. Note that the third quarter 2017 non-GAAP results excludes a one-time $2.1 million benefit in G&A and bottom line metrics following a favorable September 19, 2017, ruling by the Universal Services Administration Company, which established that Five9 is not liable for interest and penalties on disputed amounts. We therefore, reverse the accruals we had been making. Adjusted gross margins were 63.1%, an increase of 150 basis points from the third quarter of 2016. Gross margins have now increased year-over-year for 19 consecutive quarters. The improvement has come despite significant hires in our Professional Services team in response to our bookings growth. Specifically, our U.S. Professional Services team at the end of September was 43% larger than a year ago. This front-loaded investment positions us to have to train staff down the road necessary to continue to ensure that our enterprise customers start on the Five9 platform is positive and differentiated. In addition, we continue to divert considerable PS resources to help ramp our channel partners. We expect our fourth quarter adjusted gross margins to be approximately at the same level as achieved in the third quarter. Looking further ahead, we continue to expect to close the remaining 4.4 percentage point gap to the midpoint of our intermediate term model of 65% to 70% adjusted gross margins via three main drivers. First, subscription margins continuing to increase as we continue to scale revenue on fixed and semi-fixed costs. Second professional services margins improving and turning positive as investments we’re making in this area pay off. Third, a gradual shift of 2 to 3 percentage points per year and the mix between the portion of recurring revenue which comes from subscriptions, and the portion which comes from usage. As we’ve mentioned before this mix shift is being driven by two factors. First, we are seeing more add-on subscription products being purchased as we move into larger accounts. And second, a small percentage of new enterprise accounts decided to utilize their own carriers for usage. Turning now to expenses, which I will again discuss in the order of the remaining GAAP close to reach the intermediate-term 20% plus adjusted EBITDA model. Non-GAAP G&A expenses in the third quarter of 2017 were $5.3 million or 10.6% of revenue, a decline of 150 basis points from the third quarter of 2016. Non-GAAP G&A expenses as a percent of revenue has now declined year-over-year for 12 consecutive quarters. The remaining GAAP to the midpoint of our intermediate-term model for non-GAAP G&A is 3.6 percentage points. We plan to continue to close this remaining GAAP via operating leverage. Non-GAAP R&D expenses in the third quarter 2017 were $5.7 million or 11.1% of revenue, a decline of 150 basis points from the third quarter of 2016. The remaining GAAP to the midpoint of our intermediate-term model for non-GAAP R&D is now 1.4 percentage points. We also plan to continue to close this remaining GAAP by operating leverage, although at a slower rate than G&A. Non-GAAP sales and marketing expenses were $15.4 million or 30.7% of revenue an increase of 80 basis points from the third quarter of 2016 driven primarily by commissions related to our all-time enterprise bookings record in the third quarter of 2017 and by the significant investments we have made in ramping our channel program. Looking ahead for most quarters, we plan to remain within our intermediate term target for non-GAAP sales and marketing expenses, which remains at 28% to 32%. We’re extremely pleased with our eighth consecutive quarter of positive adjusted EBITDA. We generated record adjusted EBITDA of $5.2 million in the third quarter of 2017 or 10.3% of revenue compared to an adjusted EBITDA of $2.7 million or 6.7% of revenue in the third quarter of 2016, despite the increased investments in professional services and stepped-up enterprise go-to-market expenses. This marks our 13th consecutive quarter of year-over-year adjusted EBITDA dollar increases and the 16th consecutive quarter of year-over-year adjusted EBITDA margin expansions. Looking ahead, we maintain a high conviction, as we can steadily increase adjusted EBITDA margins into the 20s through the continued revenue growth and strong execution. Before I discuss non-GAAP operating income and net income results in the third quarter of 2017, I would like to point out an impact on depreciation expense due to changes in estimates for certain asset lives as part of ongoing policy through the estimated useful lives of fixed assets. Based upon the updated estimates of asset lives, depreciation was $0.8 million lower in the third quarter of 2017 of which $0.3 million was non-recurring and approximately $0.5 million will be recurring. Including the $0.8 million lower depreciation, non-GAAP operating income was $3.4 million our sixth consecutive positive quarter on this measure. Similarly, including the $0.8 million lower depreciation non-GAAP net income was $2.6 million. Reaching this level of non-GAAP net income is an important milestone as we continue to increase our profitability. Finally, before turning to guidance, some cash flow and balance sheet highlights. In the third quarter of 2017 we generated $8 million in cash flow from operations, our seventh consecutive quarter of positive operating cash flow. We are particularly pleased with this performance since it illustrates the strong unit economics and operating leverage inherent in our business model as well as our low working capital intensity driven by our low DSOs. Specifically, DSOs for the third quarter of 2017 were 29 days. This DSO performance is an indication, not just of payment terms and the mission criticality of our solution, but also of the level of customer satisfaction. Looking ahead, note that DSOs will increase gradually as the mix shift to enterprise from commercial continues. Capital spending in the third quarter of 2017 was $4.1 million of which $8.5 million was financed by our capital leases and the remaining $0.6 million was paid for in cash. I’d like to finish today’s prepared remarks with a brief discussion of our expectations for the fourth quarter and for the full-year 2017. With the fourth quarter of 2017, we expect revenue in the range of $51.7 million to $52.7 million. GAAP net loss is expected to be in the range of $2.2 million to $1.2 million or loss of $0.04 to $0.02 per basic share. Non-GAAP net income is expected to be in the range of $1.9 million to $2.9 million or $0.03 to $0.05 per diluted share. Please note that the GAAP net loss and the non-GAAP net income expectation for the fourth quarter of 2017 assume approximately $0.5 million lower depreciation from the newly estimated asset lives I previously mentioned. For 2017, we expect revenue to be in the range of $196.5 million to $197.5 million versus prior guidance of $193.5 million to $195.5 million. GAAP net loss is expected to be in the range of $10.5 to $9.5 million versus prior guidance of $17.3 million to $15.3 million or a loss of $0.19 to $0.17 per basic share versus prior guidance of $0.32 to $0.28 per basic share. Non-GAAP net income is expected to be in the range of $4.1 million to $5.1 million versus prior guidance of negative $0.2 million to positive $1.8 million or $0.07 to $0.09 per share diluted share versus prior guidance of $0.00 per basic share to positive $0.03 per diluted share. I would also like to provide insights into our current thinking for 2018. While we’re not providing formal guidance at this stage, we can provide some high-level commentary. First, with respect to revenue, we are comfortable with the current Street projections for the year. We expect revenue to follow our typical seasonal pattern with a sequential growth being stronger in the third and fourth quarters and the second quarter being relatively flat. Second, with respect to non-GAAP net income, we are also comfortable with the current Street projections for 2018. However, I’d like to remind you there is a meaningful increase in cost and expenses in the first quarter due to the FICO reset, and that we will continue to invest aggressively in a number of areas to go after this massive market opportunity. Please note that these comments on 2018 do not take into account the impact of the new revenue recognition standard, ASC 606. We continue to believe that deductions this new standard will not have a material impact upon revenue, but will result in net income improvements due to the capitalization of commissions. We will provide details when we report our fourth quarter results. At that time, we will also provide increase, intermediate and long-term adjusted EBITDA targets to reflect the impact of the new standard. For 2017 modeling purposes, we’d like to provide the following additional information. For calculating EPS, in the fourth quarter we expect basic and fully diluted shares to be $56 million and $60.3 million respectively. With the full year 2017, we expect basic and fully diluted shares to be $55 million and $59.3 million respectively. We expect that taxes which relate mainly to foreign subsidiaries to be approximately $50,000 for the fourth quarter. Our capital expenditures for the third quarter are expected to total approximately $2.5 million to $3.5 million. As a result, for the full year, we expect capital expenditures to be between $11.7 million and $12.7 million. In summary, we’re very pleased with our third quarter performance. We will continue to be focused on driving solid revenue growth, while progressing towards our intermediate-term and long-term adjusted EBITDA targets of 20% plus and 25% plus, respectively. By intermediate-term, we mean the second half of 2019, and by long-term, we mean approximately four years from now. Our confidence in meeting these targets is based upon the persistence of the factors which have driven year-over-year improvements up until now, a massive underpenetrated market, the strong unit economics of our enterprise business, which is constantly increasing proportion of our total revenue, our high dollar-based retention rates, and the operating leverage on G&A and R&D. Lastly, before we turn to your questions, I would like to announce our upcoming conference participation. We will be attending the Third Annual Roth Technology Corporate Access Day on November 15, and the Seventh Annual Needham Conference SaaS One-on-One Conference in San Francisco on November 16, and presenting at the Barclays Global Technology, Media & Telecommunications Conference in San Francisco on December 6. Additional details will be available in an upcoming press release. And now we’d like to open the call for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] And we will take our first question from Sterling Auty with JPMorgan. Please go ahead.
Sterling Auty: Yes. Thanks. First and most importantly, Mike, my thoughts and prayers are with you and I plan on working with you for many, many, many more years after you kick cancer’s ass.
Mike Burkland: Thank you, Sterling and I agree wholeheartedly. I’m ready for the battle.
Sterling Auty: Listen, I give you kudos for actually coming out and telling to us, instead of leaving people hanging with making the move for some undetermined items. So kudos for the courage. Onto the business. You mentioned the win rates versus the two closed cloud competitors, but any updates – has anything changed as Avaya has gone through bankruptcy process? Are things improving on their part and not getting tougher, stayed the same? That does seems like the biggest opportunity for displacement?
Mike Burkland: Yes. Well, clearly, our win rates have gone up against the cloud competitors as we mentioned on the call, Sterling. But yes, Avaya keeps continues to be the gift that keeps giving in terms of they’re the largest legacy players still. We’ve replace them for than we replaced anybody else. And even if they eventually emerge from Chapter 11, they’re going to be hamstrung with over $3 billion in debt, and we expect more of the same from Avaya. So we think this is a decade-plus-long opportunity to continue to replace these legacy players like Avaya.
Sterling Auty: Sounds good. And then one follow-up question. Given where the enterprise is, I think 30% of the business at this point, what can you tell us in terms of what is the average initial deal size like for an enterprise customer today versus a year ago? And how quickly are you seeing enterprise customers coming back for those second and third purchases?
Mike Burkland: Yes. So we do release average deal size in enterprise once a year, so we’ll do that in early 2018 and talk about our 2017 average deal size. But the last three years, those deals have continued to go up on an annual basis. It was $350,000, $450,000 and $560,000, respectively, over the last five years – or sorry, three years. And we got a lot of large enterprises that expand with us very quickly after the initial deal, and it’s a big part of our growth strategy is to continue to take one business unit at a time, so to speak, and transition those contact centers off of legacy and on to the cloud. And once they experienced Five9, and what we can do for their customer experience, we often have a very good inside track toward other business units from an expansion standpoint.
Sterling Auty: Got it. Thank you.
Operator: And we’ll take our next question from David Hynes with Canaccord.
David Hynes: Hey, thanks guys. First, Mike, obviously, want to echo Sterling’s sentiments. Everybody at Canaccord really wishes you the best. You’ll be missing these calls, but certainly getting yourself better takes top priority in these times, so we’ll be thinking of you.
Mike Burkland: Thanks, DJ.
David Hynes: I will ask about the new VAR and as I channel those partners. How do you think about leveraging those folks for implementation capacity? I know that’s been an area of challenge for some of your competitors. It’s obviously – you guys continue to hire aggressively in terms of direct capacity. So how and – if and how do you plan to manage the hand-off of some of that services work to closed partners?
Mike Burkland: Yes, very good question, DJ, and we continue to take a very just stepwise approach with these new partners of ours when it comes to implementations. We’ve seen our competitors fail miserably in terms of trying to turn that channel, the resell channel, if you will, into an implementation channel too quickly when they’re not ready to do it. There’s a lengthy multi-step training, shadowing process that were underway with multiple resellers and VARs as we speak. But again, we’re going to be methodical. We’re going to be very careful about when we turn over the keys, so to speak, to have these partners do implementations. This is so mission-critical for these large enterprises. This is, as I said earlier, the tip of the spear in terms of customer experience for these enterprises. And we just – we know that we’ve got to control our destiny, and we’ve got to the control our customers’ destiny by – with a high-touch implementation process. So it’s still going to be some time until we see true leverage there, but it is a future opportunity for us.
David Hynes: Yes. Okay. And then I want to ask about Cisco’s acquisition of BroadSoft. I think they’re more known in cloud PBX. But they do you also have a Cloud Contact Center solutions, so curious what you think the strategy is there. How that could impact the space? Any thoughts?
Mike Burkland: Yes. Interesting deal. I mean, BroadSoft’s business is virtually all unified communications. They do have a contact center solution they acquired years ago. Actually, I don’t know how long ago they acquired Transera, but it was two years ago. But it’s a pretty, pretty small part of BroadSoft’s business, and we’ll see if they end up focusing much of their future investments, Cisco, that is, around that contact center technology that’s there. But I do know for a fact, Transera has been around for a long, long time. Dan used to run sales of Transera. He knows the technology and the team very well. It’s a technology that kind of pivoted toward analytics for the last few years and away from contact center infrastructure, so there’s a lot of work to do there from an R&D perspective to get that – to be a kind of enterprise-grade competitor, if you will.
David Hynes: Yes. All right, thanks guys.
Operator: We’ll take our next question from Raimo Lenschow with Barclays.
Raimo Lenschow: Thanks for taking my question. Let me echo Sterling’s comments as well, and all the best, Mike.
Mike Burkland: Thanks, Raimo.
Raimo Lenschow: On the – on to the business, Mike, can you talk a little bit about the Verint relationship and how that’s evolving for you, guys?
Mike Burkland: Yes, absolutely, Raimo. It’s becoming a very important partnership for us. As time goes on, we’ve had our initial deal flow, and now we’re beyond that. It’s great to get successful implementations and deployments with Five9 and Verint integrated within enterprise customers. So we think that’s just going to continue to be a nice growth factor for us going forward. We continue to partner with other WFO players as well, but it’s great to have such a large and established player like Verint in our mix of WFO solutions that we can offer to customers.
Raimo Lenschow: Thank you. Okay, that really helps. And then I had one follow-up. Like one thing that, maybe I’m not thinking about it the right way. So at the moment you’ve grown your enterprise business – your enterprise business has – is becoming a bigger part of the total, and it’s getting bigger every year, and it’s growing at a very healthy clip. But then if you look at your revenue kind of being more kind of low 20-ish, kind of somewhat decelerating from last year, how do I kind of marry these two up? Was it just at tough comps, and then from next quarter on, it’s getting better? Help me understand that dynamic there because just – for the life of me, I can’t explain it.
Mike Burkland: Yes. So there’s definitely a tough comp in the equation here, Raimo. Remember, we talked about enterprise subscription revenue, I think, the last couple of quarters, and the fact that, that’s decelerated. And part of that is we just had an extremely large number of enterprise deployments go live in the Q, especially in Q3 of last year, Q3 of 2016. So there’s a very tough compare there, even within the enterprise part of our business. And you also – again, this is a blended growth story as we’ve talked about. Our usage revenue does grow slower than our subscription revenue, and that continues to just be the case. It’s great for gross margins, but it also impacts that blended growth story. So again, putting all these together, again, we look at our business. We look at the enterprise portion of our business. It’s now 73% of our total revenue. The subscription portion of that growing at 36% on an LTM basis. We’ve really continued to invest in sales capacity for enterprise between 30% and 40% year-over-year growth. That is going to drive bookings growth, which drives subscription revenue growth, and we expect that to be a very good long-term proxy for the future of that part of our business.
Raimo Lenschow: Perfect, it’s very clear. Mike, all the best and get well soon.
Mike Burkland: Thanks, again, Raimo.
Operator: We’ll take our next question from Nikolay Beliov with Bank of America.
Jacqueline Chung: This is actually Jacqueline Chung, on for Nikolay. Mike, we’re wishing you the best. Thanks for taking our question. So just to add on to the questions that was asked earlier. So we’ve also noticed that total revenues have been decelerating from 24% to 23% to 22% over the last three quarters, and last three quarters and last 12 months enterprise business has come down from 40% to 39% to 36% this quarter. And we’re just trying to understand, what is driving that in light of the market opportunity, the Avaya bankruptcy, and record pipeline every quarter, we’re just trying to understand relationship between the pipeline, the bookings and the revenue recognition?
Mike Burkland: Yes. Sure, Ashley, and thanks again, for the well wishes. Actually, it’s interesting, our revenue mix, as I said, is a blended story. The most important part of this business is our enterprise subscription revenue, and that is 36% year-over-year. It has come down to the low-40s. But as I’ve said, multiple times, we haven’t abnormally high-growth rate in enterprise subscription a year ago, and again, expect 30% to 40% growth in sales capacity to, in the long run, drive that enterprise subscription portion of our business in that zone in terms of our growth rate. And we think that is extraordinary growth in this very large underpenetrated, multi – potentially decade to multi-decade long opportunity, a very consistent and stable growth, so I wouldn’t get too kind of caught off in change the slope of the curve as much as the long-term sustainable growth opportunity of this business.
Jacqueline Chung: Okay, thank you. And we have more question. So we spent this week at Dreamforce and there seems to be a broader pick up in the digitization initiatives by a customer. So how are you, from a long-term perspective, continue to leverage that trend from a product and go-to-market perspective?
Mike Burkland: Yes, great question. So the good news for us is we have been an omni-channel solution for a few years now, and again, customer experience, customer interactions are way more than telephony and phone calls these days. Most customer service organizations are looking to provide a very digital, very mobile interactions that, if you will, for their customers. And our solution is front and center in that. We handle customer interactions from phone calls to chats to e-mails to social to web interactions to visual IVR to mobile applications, so we’re going to benefit with our product set from really any type of interaction, including those digital interactions. And we have multiple SKUs that we sell to enterprise customers that go well beyond telephony.
Jacqueline Chung: Great. Thank you so much.
Mike Burkland: Thank you.
Operator: And we’ll take our next question from Scott Berg with Needham. Please go ahead.
Peter Levine: This is Peter Levine, in for Scott. To echo – to you and your family, Mike. We’re at the Dreamforce conference for the week, and we saw you guys at the booth, and we continue to hear that you guys are hiring strong people and sales leaders from your competitors. So I mean, as you approach 2018, what does your sales capacity look like?
Mike Burkland: Yes, Peter. So we – again, in enterprise, we continue to expand that quota-bearing rep capacity of 30% to 40%, as I’ve said. We’re in a very fortunate spot. Dan and his sales organization have really established such a cohesive management team over the years that our ability to recruit and bring on new enterprise sales people is really just different than anybody else in the industry. So we’re not typically going through recruiters. We’re typically hiring from the network of the folks that work for us already, and it’s great to be able to hire known quantities in enterprise sales that have proven track record at other companies that people that worked here at Five9 have seen in action. So again, we’re going to continue to expand that sales capacity at the same rate we’ve been at 30% to 40% year-over-year, which we expect to continue to drive bookings and revenue growth.
Peter Levine: Great. The other thing is the company considers to see partners influence more deals. However, we hear that partners in the contact center space are not onboarded – or not onboard with selling subscriptions as products for perpetual license, right? So how do you move this going forward?
Mike Burkland: Yes. Well, Peter, we’ve seen a big shift in that over the last, I’d say, nine to 12 months. I’ve mentioned this on prior calls. If you look back a little over a year ago, if you look at the number of Avaya resellers that we had reselling Five9, we had one. We have increased that dramatically over the last nine months. And part of that is there’s been a change in mentality amongst those channel partners that used to really be bias toward the on-premise model, mainly because the economics were better for them. Those channel partners are now really being not forced, but they know that the large enterprises are not going to re-up on their Avaya on-premise solution. So they’ve got to have an alternative, and they’ve got to have a cloud alternate. So we’ve actually seen a large inflection point, a tipping of the scales, if you will, where these Avaya VARs have come to us and leaned in hard to be able to offer Five9 as a cloud alternative to the on-premise Avaya, for example.
Operator: And we will take our last question from Mike Latimore with Northland Capital Markets.
Mike Latimore: Mike, we’ll definitely be thinking of you for your recovery.
Mike Burkland: Thank you.
Mike Latimore: On the – just on the bookings side. What percent of the bookings does the channel represent this quarter, not sort of all the influences, but the channel, specifically?
Mike Burkland: Yes. So as we said, 55% were influenced by the bigger ecosystem, right? But from a deal count perspective, the master agents and resellers represented more than 25% of our deals. However, from a dollar perspective and bookings, it was below 25% this quarter and – mainly because – you probably heard those large deals I talked about. We – on the direct side of our business, we signed more – $1 million-plus deals than we ever had in a quarter. So that altered the dollars, but from a deal count perspective, over 25% for master agents and resellers.
Mike Latimore: Got you. And just on the deal size, I know you’ve talked about it migrating up. Given the number of deals you mentioned this quarter, it almost seems like there’s a little bit of a stairstep-up in deal size, or is it still more of a sign of your migration efforts?
Mike Burkland: Yes, this quarter was pretty special. I mean, I talked about a $2.6 million deal, a $1.9 million deal, a $1.3 million and a $1 million, those are – if you look back at our earnings calls in the past, these are – this was a great quarter for large deals.
Mike Latimore: Yes – like that. And then just last, on sales productivity, is that relatively consistent as you add more people?
Mike Burkland: Yes. We’ve been very fortunate to be able to keep that very steady, if not slightly increasing, as we’ve continued to add sales capacity to enterprise.
Mike Latimore: Got it. Thank you.
Mike Burkland: Thanks, Mike.
Operator: And we’ll take our next question from Jeff Van Rhee with Craig-Hallum. Go ahead.
Jeff Van Rhee: Great, thanks. Mike, so sorry to hear the tough news, and certainly wish you and the family all the best in being – as I think your intense focus on culture and really the benches is looking very well-placed at this point. So you’re living a strong team in place, but certainly, wish you the best.
Mike Burkland: Thank you so much, Jeff.
Jeff Van Rhee: You bet. So a couple for me. I guess, from a bookings standpoint, to Mike’s question a minute ago, certainly, a bunch of big deals here. Is there any more color you can give with respect to bookings, namely does this quarter mark an acceleration in terms of year-over-year growth? How does it compare up with respect to growth that you’ve posted in the last few quarters, if you will, on the bookings front?
Mike Burkland: Yes. Well, it was clearly a record high, as we mentioned, and I also commented on the pipeline being a record high, too. And again, I would say that, in general, Jeff, the good news for us is even with these large deals and – the good news for us is our enterprise business continues to have so many transactions per quarter that it’s a relatively smooth curve, and that’s part of the beauty of our business model. And it’s not real lumpy. And that’s, I would say, that’s characteristic of this quarter as well. Even though we had some large deals, I wouldn’t characterize this as off the charts or an order of magnitude in terms of growth.
Jeff Van Rhee: Yes. Okay. And then you certainly talked, I think, at length, coming into the quarter about the tough compares on a year-over-year basis. So not necessarily surprised to see the LTM enterprise subscription growth decelerate. Do you – given we don’t see the quarterly, it’s tough to make any conclusions. Would you expect that this is the floor or the bottom with respect to that growth rate?
Mike Burkland: I would – I would say, Jeff, that, that 30% to 40% range, as I’ve really tried to tell everyone over and over and over is a very, very good proxy in the long run. And again, 36% is where we are. I would expect us to kind of be in that zone, and I’ll leave it at that.
Jeff Van Rhee: Yes. Got it. Okay, just last from me. With respect to the pipeline, any incremental color in terms of what portions of the solution set you’re seeing people gravitate to that might not have been the case three, six months ago?
Mike Burkland: Yes. It’s interesting. I would say that the bulk of our pipeline is still core product, right? So it’s still our core product more than anything in terms of the mix in that set of deals that are in the pipeline. But we continue to add more SKUs. I’ve talked about it in the past with WFO and MPLS, agent connect, omni-channel, multi-channel, the list goes on. There’s just so many more SKUs that we can sell. But a large majority of the products in most of the pipeline are still kind of core product offering, but it is nice to be able to offer more and more SKUs to our – not just on new deals, but also up-sell through our base. I mentioned one of those in our expansion deal would added one of our SKUs.
Jeff Van Rhee: Great. All right. Thanks so much. Best wishes to beat this.
Mike Burkland: Thank you, Jeff.
Operator: And we’ll take are our next question from Brent Bracelin with KeyBanc.
Brent Bracelin: Thank you. Mike, I’ll also extend my sincere thoughts and best wishes to you and your family here. I really had just two questions. One, wanted to go back to the enterprise win rate in the quarter. Historically, if I go back the last year, you’ve been talking about an over 70% win rate. You put a new kind of line in the sand here, now it’s 75% win rate on the enterprise side, clearly seeing higher portion of $1 million deals. What’s driving this win rate, larger deals? How much of it is technology and functionality with the Summer Release versus just a broader partner influence that’s helping you?
Mike Burkland: Yes, Brent, very good question. And you’re right, I mean, we have seen these win rates against the two key cloud competitors increase over the last quarter. And it’s a function of a number of things. It’s a function of our continued extending our product lead. That Summer Release was a big one for us, but it’s also, I think, just our brand and awareness in the market. At the same time, we’re benefiting from some competitors, those two competitors namely that have been going through some distractions of being absorbed by their new parent companies. And I think we’ve been talking about that for a few quarters, and it continues to be the case. Probably more so in the Interactive Intelligence case than the inContact case, but it’s still happening, we believe, in both and it’s helping our win rates.
Brent Bracelin: Very helpful. And then my last question is for Barry here. As we think about just the operating leverage in the business, you may tripled – operating profits tripled here year-over-year sequentially. As you think about driving operating leverage, your comments around next year sounded like you were going to make some investments and front load those. But what’s your appetite to continue to drive off leverage here in the model, understanding there’s going to be some seasonal components to that?
Barry Zwarenstein: Yes. So, first of all, we were very happy to report the return of meaningful gross margin expansion and operating leverage this quarter. And we remain committed, Brent, to doing more of the same despite those increased investments. We’ve been very consistent in talking about 20% goal in the second half of 2019, target of 20%-plus. And we’ve got the recipe, and we’re just continuing to keep it on the stove.
Brent Bracelin: Okay, thank you.
Barry Zwarenstein: Thanks Brent.
Operator: And we’ll take our next question from Richard Baldry with Roth Capital.
Richard Baldry: Thanks, also add my best wishes, and hope you’re successful in your battle as you have been at the helm of Five9 for these past few years. Just quickly, you’ve had such good momentum on the 7-figure deal size. How do you balance internally sort of the urge to go whale-hunting now that you’re being successful at 7-figure deals versus making sure you’re also getting in the faster, smaller deals that are getting you the footholds that can expand later into broader deployments and key opportunities?
Mike Burkland: Yes, Rich, thank you for the wishes there. And you’re right on. I mean, there’s an urge to go urge to go whale-hunting here. And the good news is when you grow from the bottom up, so to speak, and again, we were – when I first got here, nearly 10 years ago, we were very focused on the small to medium business market. We moved up into the mid-market in enterprise, starting years and years ago. But it really helps as you – just from a mentality standpoint. It’s really hard to get experience whale hunters, if you will, to come down market, but it’s much, much easier to – we have a culture amongst our sales organization. These folks know where our historical sweet spot has been. They know what really puts their commissions on the table so to speak every quarter and that is the bread and butter, the volume game, if you will, and we do that better than anyone. But it’s great to be pulled up market into some of these larger and larger deals, too. So I would say that we continue to have a very good discipline. Dan and the rest of his sales leadership team have done just a great job of not letting people go whale-hunting. In fact, we’ve had a couple of people that we’ve recruited in from the on-premise side of the world that wanted to go whale- hunting right when they got here, and we quickly correct – course-corrected them to go after these midsized deals. And then again, it’s great when you get pulled-up market, and that’s what’s happening.
Richard Baldry: And given the pace you’re growing the enterprise capacity, that 30% to 40% a year, now that’s a lot of heads added every two years or so. Can you talk about if there’s any need to do structural changes, sort of how you go to market with that team as it grows really quickly? Or whether you see 2018 really as steady state, how you’re going to market now geographically, vertically by scale of deals, et cetera?
Mike Burkland: Yes. I think the good news for us, Rich, is we still got so much headroom in terms of that – the expansion of our sales capacity. And so there are some organizational, I wouldn’t call them structural changes, but they’re definitely some organizational changes that we make and we’ve been making over time in terms of geographic territories and promoting certain regional managers into area managers and having multiple regions below. But beyond that, we still have an opportunity to take a more vertical approach in the future, which we’ve done a little bit of that, but not much from an org structure standpoint in sales. And we think there’s still a lot of opportunity to continue to just expand geographically. But beyond that, we also see future opportunities to go vertical.
Richard Baldry: Okay, congrats on a great quarter and good luck.
Mike Burkland: Thanks Rich.
Operator: And we will take our last question from Meta Marshall with Morgan Stanley.
Yuuji Anderson: This is Yuuji Anderson, on for Meta. And likewise, best of luck to a speedy recovery. Most of my questions have been answered, but I guess, the one I have is on the professional services component. As your deal sizes get larger, does that percentage attach rate kind of stay roughly the same? Or does it scale up or down depending on some circumstances?
Mike Burkland: I’m sorry, we have a little interference over here. Can you repeat that question? I’m sorry.
Yuuji Anderson: You hear me better now?
Mike Burkland: Yes, I can hear you now.
Yuuji Anderson: Great, yes. So my question was on professional services. As your deal sizes get larger, does that percentage attach rate kind of stay roughly the same? Or does it scale up or down depending on some circumstances?
Mike Burkland: Yes, it’s a great question. And it’s interesting because I look at it in total, not relative to deal size as much as total, and it has definitely continued to go up as we’ve really focused on running professional services as a profit center, a P&L, if you will, for the company. And as Barry has talked a lot about in terms of our PS margin expansion, that’s part of the – part of the leverage here is our pricing of professional services. So overall, we’ve seen professional services as a percentage of ACV, if you will, continued to rise. And part of that is – a big, big part of that is just our pricing strategy relative to professional services. But I would say the larger and larger the deals get, the more complex they typically get, and we would expect the percentage of professional services to slightly increase. But the big move that we’ve made in this regard over the past couple of years has been much more for a pricing strategy standpoint versus just deal size-driven.
Yuuji Anderson: Great. Thank you so much and best of luck to a speedy recovery.
Mike Burkland: Thanks so much.
Operator: And that does conclude our question-and-answer session. I’d like to turn the conference back to Mike Burkland for any additional remarks.
Mike Burkland: We’ll thank you very much for joining on today’s call, guys, and thanks all the good wishes. I’m ready to go to battle, so to speak, and it is what it is, but I’ve also got a great, great team around me from the health perspective. But I also want to reiterate that I will be actively involved with Five9 as Executive Chairman, and given the depth of our team, combined with just the cohesiveness of this team, I am extremely confident that Five9 will continue to execute and extend our lead in this market. So we’re excited about the next chapter here. So thanks, again, for joining.
Operator: And once again, that conclude today’s presentation. We thank you all for your participation, and you may now disconnect.